Operator: Good morning, ladies and gentlemen, and welcome to Trustmark Corporation's Third Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded. It is now my pleasure to introduce Mr. Joey Rein, Director of Corporate Strategy of Trustmark. Please go ahead.
Joey Rein: Good morning. I'd like to remind everyone that a copy of our third quarter earnings release as well as the slide presentation that will be discussed on our call this morning is available on the Investor Relations section of our website at trustmark.com. During the course of our call, management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We would like to caution you that these forward-looking statements may differ materially from the actual results due to a number of risks and uncertainties, which are outlined in our earnings release as well as our other filings with the Securities and Exchange Commission. At this time, I'd like to introduce Duane Dewey, President and CEO of Trustmark.
Duane Dewey: Thank you, Joey, and good morning everyone. Thank you for joining us today. With me this morning are Tom Owens, our Chief Financial Officer; Barry Harvey, our Chief Credit and Operations Officer; and Tom Chambers, our Chief Accounting Officer. Trustmark had a solid third quarter with continued loan and deposit growth, a stable net interest income, strong performance in our insurance business, and solid credit quality. As previously disclosed, Trustmark recognized a litigation settlement expense of $6.5 million in the third quarter. With this charge, Trustmark reported a third quarter net income of $34 million, representing diluted earnings per share of $0.56. Including this litigation -- excluding this litigation settlement expense, Trustmark's third quarter net income totaled $38.9 million or $0.64 per diluted share. During the first nine months of 2023, Trustmark's net income totaled $129.4 million, which represented diluted earnings of $2.11 per share, an increase of 22.7% from the same period in 2022. We continue to focus on cost-saving initiatives to improve efficiency as well as technology to enhance our ability to grow and serve customers. We believe Trustmark is well-positioned to respond to changing economic conditions and create long-term value for our shareholders. Let's take a look at our financial highlights in a little more detail by turning to Slide 3. Loans held-for-investment increased $196.3 million, or 1.6% linked-quarter, and $1.2 billion or 10.6% year-over-year. Deposits during the quarter grew $188 million or 1.3% linked-quarter, and $676.7 million or 4.7% year-over-year. Net interest income totaled $141.9 million, resulting in a net interest margin of 3.29%, down 4 basis points, linked-quarter. Noninterest income decreased 2.5%, linked-quarter, to $52.2 million, representing 27.4% of total revenue in the third quarter. Noninterest expense in the third quarter totaled $140.9 million. Excluding the litigation settlement expense of $6.5 million, noninterest expense was $134.4 million, up $2.2 million or 1.7%, linked-quarter. Net charge-offs during the quarter totaled $3.6 million and represented 11 basis points of average loans. The provision for credit losses for loans held-for-investment was $8.3 million in the third quarter. Credit quality remained solid during the quarter as the allowance for credit losses represented 1.05% of total loans held-for-investment and 273.6% of non-accrual loans excluding individually evaluated loans at September 30. We continue to maintain strong capital levels with common equity tier 1 of 9.89% and a total risk-based capital ratio of 12.11%. The Board declared a quarterly cash dividend of $0.23 per share payable on December 15 to shareholders of record as of December 1. At this time, I'd like to ask Barry Harvey to provide some color on loan growth and credit quality.
Barry Harvey: I'll be glad to, Duane, and thank you. Turning to Slide 4, loans held for investments totaled $12.8 billion as of September 30. That's an increase, as Duane mentioned, of $194 million for the quarter. Loan growth during Q3 came from CRE, equipment finance and our mortgage line of business. We do expect continued solid loan growth throughout the remainder of 2023, resulting in mid-single-digit loan growth for the year. Our loan portfolio, as you can see, is well-diversified both by product type, as well as by geography. Looking at Slide 5, Trustmark CRE portfolio is 94% vertical, with 68% in the existing category and 32% in construction land development. Our construction land development portfolio was 80% construction. Trustmark's office portfolio, as you can see, is very modest at $288 million outstanding, which represents only 2% of our overall loan book. The portfolio is comprised of credits with high-quality tenants, low lease turnover, strong occupancy levels and low leverage. The credit metrics on this portfolio remain extremely strong. Looking at Slide 6, the bank's commercial loan portfolio is well-diversified, as you can see, across numerous industries with no single category exceeding 13%. Looking at Slide 7, our provision for credit losses for loans held-for-investment was $8.3 million during the quarter, which was attributable to: reserving for one individually evaluated credit; a weakening macroeconomic forecast; funding provision for the loan growth that we achieved during the quarter; and net adjustments to our qualitative factors. The provision for credit losses for off-balance sheet credit exposure was $104,000 for the third quarter. On September 30, the allowance for loan losses for loans held-for-investment were $134 million. Looking at Slide 8, we continue to post solid credit quality metrics. The allowance for credit losses represents 1.05% of loans held-for-investment and 274% of non-accruals excluding those loans that are individually analyzed. In the third quarter, net charge-offs totaled $3.6 million or 0.11% of average loans. Both non-accruals and non-performing assets remain at reasonable levels. Duane?
Duane Dewey: Okay, thank you, Barry. I'd like to ask Tom Owens now to focus on deposits and income statement.
Tom Owens: Thanks, Duane, and good morning everyone. Turning to deposits on Slide 9. We had another good quarter with our deposit base continuing to show its strength amid an environment that remains exceptionally competitive. As Duane said, deposits totaled $15.1 billion at September 30, which was a linked-quarter increase of $188 million or 1.3% and a year-over-year increase of $677 million or 4.7%. The linked-quarter increase was driven by strong fundamentals, with growth in personal balances of $288 million, non-personal balances of $148 million and brokered balances of $125 million. That growth was offset somewhat by a decline in public fund balances of $373 million due to seasonal and other factors. Regarding mix, time deposits continued to increase linked-quarter, with promotional CDs up $344 million and brokered CDs up $113 million. As of September 30, our promotional time deposit book totaled $1.23 billion, with a weighted average rate paid of 4.65% and a weighted average remaining term of about six months. Our brokered deposit book totaled $728 million, with an all-in weighted average rate paid of about 5.42% and weighted average remaining term of about five months as of September 30. Also regarding mix, the rate of decline in noninterest-bearing DDAs slowed meaningfully during the third quarter, down linked-quarter by $141 million or 4.1%. Noninterest-bearing DDA represented 22% of the deposit base as of September 30. Our cost of interest-bearing deposits increased by 43 basis points from the prior quarter to 2.39%. Turning to Slide 10, Trustmark continues to maintain a stable, granular and low-exposure deposit base. During the quarter, we had an average of about 464,000 personal and non-personal deposit accounts excluding collateralized public fund accounts with an average balance per account of about $26,000. Average accounts for the quarter increased by about 3,000 or at an annualized rate of about 3%. As of September 30, 65% of our deposits were insured and 12% were collateralized, meaning that our mix of deposits that are uninsured and uncollateralized was essentially unchanged linked-quarter at 22%. We maintain substantial secured borrowing capacity, which stood at $5.7 billion at September 30, representing 170% coverage of uninsured and uncollateralized deposits. Our third quarter total deposit cost of 1.84% represented a linked-quarter increase of 36 basis points and a cumulative beta cycle-to-date of 33%. Forecast for the fourth quarter is for an increase in deposit cost to 2.12%, which would represent a cycle-to-date beta of 39%. Forecast reflects market implied forward interest rates with the Fed remaining on hold for the remainder of the year, with the top of the target range for the Fed funds rate at 5.5%. Turning our attention to revenue on Slide 11. As Duane said, net interest income, FTE, decreased by $1.4 million linked-quarter, totaling $141.9 million, which resulted in a net interest margin of 3.29%. Net interest margin decreased by 4 basis points linked-quarter, as changes in asset rate and volume substantially offset changes in liability, rate and volume. Turning to Slide 12. Our interest rate risk profile remained essentially unchanged as of September 30, with substantial asset sensitivity driven by loan portfolio mix with 49% variable coupon. During the third quarter, the weighted average maturity of the cash flow hedged portfolio shortened slightly to 2.9 years, and the weighted average received fixed-rate increased to 3.16%. We entered into $25 million notional or forward-starting swaps, which brought the portfolio notional at quarter-end to $975 million. The cash flow hedging program substantially reduces our adverse asset sensitivity through potential downward shock in interest rates. Turning to Slide 13. Noninterest income for the third quarter totaled $52.2 million, a $1.3 million linked-quarter decrease and a $382,000 decrease year-over-year. The linked-quarter decrease was driven primarily by a decrease in bank card and other fees of $700,000 and by a decrease of -- in other net of $1.3 million, which was essentially normalization from an elevated level in the second quarter, that was driven by non-recurring income recognition. Those linked-quarter decreases were offset somewhat by increases in service charges on deposit accounts of $379,000 and insurance commissions of $539,000. For the quarter, noninterest income represented 27.4% of total revenue, continuing to demonstrate a well-diversified revenue stream. Now looking at Slide 14, mortgage banking revenue totaled $6.5 million in the third quarter, a $142,000 decrease linked-quarter, driven by a $493,000 increase in amortization of the mortgage servicing assets, which was substantially offset by a $152,000 increase in servicing income and a $338,000 reduction in negative net hedge ineffectiveness. Year-over-year, mortgage banking declined by $418,000, driven primarily by reduced gain on sale. Mortgage loan production totaled $390 million in the third quarter, a decrease of 9.6% linked-quarter and a decrease of 23.3% year-over-year. Retail production mix remained strong in the third quarter, representing 76% of volume or about $295 million. Loans sold in the secondary market represented 81% of production, while loans held on balance sheet represented 19%. Gain on sale margin decreased by 3 basis points linked-quarter to 1.21%. And now I'll ask Tom Chambers to cover noninterest expense and capital management.
Tom Chambers: Thank you, Tom. Turning to Slide 15, you'll see a detail of our total noninterest expense. Adjusted noninterest expense was $134 million during the third quarter, a linked-quarter increase of $2.4 million or 1.9%, mainly driven by an increase in salary and employee benefits of $726,000 as a result of higher salary expense. Other expense increased by $1.4 million, resulting from an increase of FDIC assessment expense of $1.2 million. In addition, services and fees decreased $382,000 due to lower professional and consulting fees during the quarter. As noted on Slide 16, Trustmark remains well-positioned from a capital perspective. As Duane previously mentioned, our capital ratios remained solid, with a common equity tier 1 ratio of 9.89%, and a total risk-based capital ratio of 12.11%. Trustmark did not repurchase any of its common shares during the second quarter -- during the third quarter. Although we have a $50 million authority for the remainder of 2023 under our Board-authorized stock repurchase program, we are unlikely to engage in-stock repurchase in a meaningful way. Our priority for capital deployment continues to be organic. Back to you, Duane.
Duane Dewey: Well, thank you, Tom. Turning to Slide 17, let's look at our outlook. First, let's look at the balance sheet. We're expecting loans and deposits to continue to grow mid-single-digits for the year. Security balances are expected to decline in high-single-digits for the year as cash flow runoff of the portfolio is not reinvested, which of course is subject to the impact of changes in market interest rates. Moving on to the income statement, we're expecting net interest income to grow high-single-digits full year '23, which is driven by earning asset growth and reflects a full year net interest margin in the high 3.20%-s based on the current market implied forward interest rates. The total provision for credit losses, including unfunded commitments is dependent upon future loan growth, the current macroeconomic forecast and the credit quality trends. Net charge-offs requiring additional reserving are expected to be nominal based on the current economic outlook. From a noninterest income perspective, insurance revenue is expected to increase high-single-digits full year with wealth management expected to increase low-single-digits. We're expecting service charges and bank card fees to increase low-single-digits, which is offset somewhat by lower customer derivative fees. Mortgage banking revenue is expected to decline low-single-digits for the year. Adjusted noninterest expense is expected to increase mid-single-digits for the year. This reflects general inflationary pressures, added talent throughout our system as well, but it is also subject to the impact of commissions in the various lines of business. We remain intently focused on our FIT2GROW initiatives as discussed throughout 2022 and 2023. Our Atlanta-based Equipment Finance division continues to gain traction as its portfolio has grown to $191 million as of 9/30. We have implemented numerous technology advancements, which will continue into '24 and '25, all of which are designed to improve efficiencies. Moving into Q4, we're intently focused on cost-saving initiatives that will reduce the rate of expense growth in coming quarters. In addition, work continued on the design of our sales-through-service process, which will be implemented across the retail branch network in '24. We believe these actions will enhance Trustmark's performance and build long-term value for our shareholders. Finally, we will continue a disciplined approach to capital deployment with a preference for organic loan growth and potential M&A. We will continue to maintain a strong capital base and implement corporate priorities and initiatives. With that, at this time, I'd like to open the floor up to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Graham Dick with Piper Sandler. Please go ahead.
Graham Dick: Hey, good morning guys.
Duane Dewey: Good morning.
Graham Dick: So, I just wanted to start quickly on the margin, specifically with loan yields. They saw some really nice expansion this quarter. Just wanted to get a sense for the repricing dynamics in that portfolio as we look forward. And then also if you think that there may be a similar level of improvement possible in 4Q and maybe even as we look into 1Q '23?
Barry Harvey: Hey, Graham, this is Barry on the credit side. I'll start there and then maybe others who want to contribute, but our weighted average yield for the book is 6.2% for the quarter. What we put on the books was 7.9%, so we are still seeing a nice increase and the -- of the new bookings versus the makeup of the book itself. And that's predominantly because a lot of our new opportunities are CRE-related, slower production than we saw in '21. Clearly, much lower production we saw in 2023 -- excuse me, in 2022. But having said that, we definitely are seeing some good fee income on those particular opportunities as well as spreads to one month SOFR. So, for that reason, I think we continue to see a nice yield in our new production relative to the overall book.
Graham Dick: Okay, that's helpful. And then, I guess just on the deposit side, I know it's only a minor difference, but you guys did outperform your deposit cost guidance a little bit this quarter. Can you just talk through what you're seeing on the funding cost side as you start to look ahead into 2024? And when you -- if you have an idea of when you think that might peak out and the lag will be fully into the deposit cost picture?
Tom Owens: Hey, Graham, this is Tom Owens. So, yes, we did come in just slightly favorable to our guidance for the third quarter. And as a result, we slightly lowered our guidance on deposit cost for the fourth quarter. Internally, we're continuing to model as we've discussed on prior calls, which is ultimately to a cumulative deposit beta mid-2024 in the mid-40%s. So, I think what you will see is decline in linked-quarter, increase in deposit cost over the next several quarters, right? So the pace of increase will continue to decline and I would not expect that you'll get to flattish deposit cost until second half next year. We've got the Fed. We're using market-implied forwards, so the Fed is on hold through I believe July of next year, which is about the same time we've got that cycle to beta topping out and where we have deposit costs topping out.
Duane Dewey: Hey, Graham, this is Duane Dewey. Let me just add real quickly to that just to complement, Tom and the treasury team, as well as the retail banking team here at Trustmark. I think as the year has gone on, we have become more focused and targeted in some of our campaigning on the deposit side, and really honed in on where we have opportunity, where we have opportunity to price better, et cetera. So I think, in addition to the market pressures that we're facing, I also think the organization has advanced in its targeted marketing campaigns across the system, so -- which has helped manage the cost.
Graham Dick: Yeah, definitely. Then I guess -- so you've taken those two pieces together and then looking at the margin this quarter, which was held in pretty well. Are you thinking that the asset repricing from here can maybe just at least offset deposit cost increases until we see that flatter, I guess deposit cost trajectory in the back half of 2024?
Tom Owens: I think -- Graham, this is Tom Owens again. I think you'll continue to see some linked-quarter compression in net interest margin for the next couple of quarters. And then, as you get into, call it, mid '24 second and third quarter is where you're likely to see that stabilize and even out.
Graham Dick: Okay, great. And then lastly if I could just get one more in. Yesterday, we saw another banking competitor, a peer of yours announce the sale of its insurance business and they're planning to use the capital to pay down some borrowings and restructure part of the bond portfolio. How do you guys view this transaction? Would you ever consider anything like it? Because if I look at the multiple on that business, it looks like your all insurance business will be implied about $300 million in value-based on the revenue multiple that was used yesterday.
Duane Dewey: Graham, Duane -- this is Duane. We're well aware obviously of what's happening in the bank-owned insurance space, I guess across, there's been a couple of deals announced to that end. However, we like the business. We've been in the business 25 years. It's been a steady, stable, consistent grower, especially over the last 10 years to 12 years. It's a very high return on tangible common equity business. We have a great team, great management structure there, et cetera. So, we very much like -- we like the diversification also that insurance -- the insurance revenue brings. Tom noted the 27%-plus of noninterest income, we like that balance as well. Now all that said, we're aware of what's going on around us. We know valuations and understand what impact that's having on others from a financial perspective. So, we continue to monitor and evaluate, but at this point in time, we really like the insurance business.
Graham Dick: Okay, great. Thanks, guys.
Operator: Our next question comes from Kevin Fitzsimmons with D.A. Davidson. Please go ahead.
Kevin Fitzsimmons: Hey, good morning, guys.
Duane Dewey: Good morning, Kevin.
Kevin Fitzsimmons: Shifting gears to credit, we saw roughly a $20 million increase, I believe in NPAs, I know we're kind of coming off a very low point here. And I saw you mentioned reserving for this newly evaluated non-accrual loan, it looked like non-accruals went up in the State of Alabama and Mississippi. So, maybe just any color you can provide on how many loans? What kind of business they're in? And if there's any concern that there'll be others coming? Thanks.
Barry Harvey: Hey, Kevin, this is Barry. I guess starting with one aspect of that question, really during the quarter, there was two credits that drove our increase in non-accruals, and one of them was CRE and one of them was C&I, both of them were sub-standard accruing as of 6/30. And then we, during the quarter, the third quarter, we decided to move them to non-accrual and specifically evaluate them to determine if a reserve was required or not. Don't see that as anything systemic at this point. I think it's just normal course of business. When you mentioned Mississippi and Alabama, one of the -- C&I loan was that I've mentioned was originated out of Alabama, the customer is not in Alabama, but it was originated out of Alabama and that's the way it's shown on our distribution. And then within Mississippi, the increase that you saw there was driven by our mortgage company. We had some -- we continued like everybody does, I think to see some increase in non-accruals coming out of our mortgage book, which is -- so that's -- hopefully that gives you a little bit of color on that aspect of it. But we continue to monitor our portfolios very, very carefully. We're looking at a lot of the credits on a quarterly basis. We're looking at them. And specifically from a CRE perspective, we're looking -- we're taking the pro forma and then we're looking at today's interest rates and determining what the debt service coverage looks like, what the debt yield looks like and evaluating them based upon today's interest rate environment regardless of what the environment was at the time of underwriting. So, we continue to assess it, and then as we need to adjust grades, we're doing so in a very timely manner, well before we end up with a breach or a maturity.
Kevin Fitzsimmons: That's helpful, Barry. While we're on the subject of credit, to choose two kind of side questions, a number of your large Southeast bank peers were involved in a bankrupt syndicated credit. Can you remind us what kind of exposure you have to SNCs? And then equipment finance, I know you guys are just kind of in the infancy stage there of that business and it's ramping up. But with the economy slowing in the mid higher rates, is there any concern about that book? I know, Duane, when we've talked about this before, you'd really emphasized how you're really being careful and methodical in building that business. So I would assume you feel okay credit-wise, there.
Barry Harvey: Sure. And Kevin, I'll start with the SNC question and will move to equipment finance. For our shared national credits, our percent of the total book is going to be -- for outstanding, is going to be 8.6%. And I think there is a few things to comment beyond that is, we don't have any concentrations from an industry standpoint, based upon the regulatory definition of concentrations. I would also like to mention kind of how we -- while we kind of monitor SNCs within Trustmark, the credit quality for shared national credits given what they are is going to be near and oftentimes investment grade, so high-quality companies. And as a general statement, I mean, obviously with high-quality companies, you typically have less collateral as a general rule, because of the quality of the earnings, the strength of the earnings, the size of the earnings, the predictability of the earnings, all those things leads you to a credit process that the credit criteria and structure reflects the strength of the borrower that you're lending to. We typically are careful with taking a modest hold as we approach shared national credits. The credit itself was extremely strong, but they are -- we're always going to be buying into these credits, we don't lead any shared national credits. So, as we buy into them, they're take or leave, so really the only way to protect yourself from our perspective is to be modest with the size of the opportunity we pursue and put on our books. We've also established limits as it relates to shared national credits or a concentration limit, if you would. We've had that in place for many, many years. We displayed that to our Enterprise Risk Committee of the Board, who looks at everything credit from a Board perspective. We share that with them on a quarterly basis. And so, we do in fact, we are conscious of shared national credits, maybe for a different reason than you're asking the question for, we just want -- we know that it's purchase business and has limited opportunity for future ancillary business. So, we're focused on making sure that we're doing as much direct business as we can and getting as much of a wallet share from a customer as possible. So, we're focused on those credits to make sure that we're not doing those in lieu of the direct business that we want to be doing every day. So shifting over to the equipment finance side, I mean, we've got extremely experienced talented team that -- they understand clearly that we're looking to be down the middle of fairway on all the deals we're looking at. The credit structure, the credit quality is first and foremost. The pricing is important to us, but it's always secondary to the borrower. We understand in a new line of business, we don't want to stumble, we don't want to have problems. So that is our focus and will continue to be our focus for the foreseeable future. And I do -- I can't overemphasize the experience level, the knowledge of the people we have in that line of business, including the credit resources that we were able to obtain that had been in that line of business for many, many years with some really large institutions. So from that standpoint, I'm very comfortable as we evaluate credits, which we will later this morning for opportunities that we're looking at a good solid credit risk, down the fairway in terms of deal quality and making sure that's our focus, and price is secondary, but we do want to make sure we get a reasonable yield given the credit quality being presented.
Duane Dewey: One, just final note on the equipment finance, Kevin is, it's mid to large ticket, so it is -- we're not focused on small ticket or small business type stuff, it's really mid to large and most of the credit in that portfolio is close to what Barry described from a SNC perspective, very top-line credit quality. So yeah, we feel pretty good about where we are at this point in that business.
Kevin Fitzsimmons: Okay, great. And I'm going to sneak one last one in here, Duane. I just want to point out not to be just that -- your comment about liking the insurance business. I recall Cadence CEO saying that same thing on last quarter's call. But putting that aside, like say there is no transaction there, would you look at doing on its own a securities restructuring transaction just to accelerate some of that redeployment or reinvestment on the securities portfolio?
Duane Dewey: Yeah, I'll start quickly and let Tom address the securities portfolio. But again, I mean, we've been in the business 25 years, can't comment much on what Cadence thought process is. But staying abreast, staying aware of what's going on and looking at what's best for Trustmark's shareholders moving forward, that's what we're focused on. And it's been a great business for us and continue to monitor the situation, but at this point in time, that's where we stand. So, I'll let Tom address the securities portfolio.
Tom Owens: So, Kevin, this is Tom Owens. So, I would probably echo Duane's comments in terms of being aware and monitoring what our competitors and what our peers are doing. Certainly, we're aware of the restructuring, the investment portfolio restructuring activity that's been going on. So, we're aware of it. We look at it. We are not, at this point, seriously contemplating doing that, I guess is the way I would say it.
Kevin Fitzsimmons: Okay, that's great. Thanks, guys. Appreciate it.
Operator: [Operator Instructions] Our next question comes from Will Jones with KBW. Please go ahead.
Will Jones: Hey, great. Good morning, guys. This is Will. How is it going?
Duane Dewey: Hey, good morning. Thank you, Will.
Will Jones: Hey. So, I just wanted to start out on the margin, I know and I understand that we may take a step down here in the next quarter and I really appreciate the guidance of a little bit of further compression until we moderate into the middle half of next year, but just taking that into account and appreciating the fact that, you still plan to grow earning assets. Do you feel like you can grow NII again in 2024? Or does it really feel like more of a leveling out in NII and maybe just trying to protect the margin?
Tom Owens: So certainly -- Will, this is Tom. So, certainly, earning asset growth will drive an increase year-over-year in net interest income. But that -- but the headwind from compression in net interest margin, we're not going to be able to overcome. No, I mean, I think when you look at the dynamic in the industry, right, I mean that's the challenge for the industry heading into '24 is the compression that we've experienced and that we're facing in terms of net interest margin, just mathematically, you can't get there. You're going to be off year-over-year in a meaningful way in terms of net interest income. If I heard your question correctly, I hope I answered it. And if not please, please follow-up.
Will Jones: Yeah, that was helpful. But it just -- it feels like it would be a challenge to maybe see that high single-digit growth again in 2024, not trying to hash 2024 guidance out now or anything, but I guess that was really more the precedent of the question, if we keep seeing more margin compression, but understanding that you'll still be growing the earning asset base as well. But, no, that was helpful. But I guess just to lead into it, assuming maybe the revenue environment stays somewhat more challenged next year, do you have offsets maybe on the expense side with understanding that you guys are fairly active with your FIT2GROW initiative? How do you feel -- or what is the outlook for where you feel expenses could go in the next year or so?
Duane Dewey: I don't know if I can give you a full year, I can tell you directionally, we are very intensely focused on expenses. As noted in the FIT2GROW initiatives, we've invested in technology. We've invested somewhat in talent and people, like equipment finance in Atlanta office, et cetera. So, we've done some things that we think over time really enhance shareholder value. And there has been some other factors in there, some of the legal resolution that we completed here this quarter, et cetera, that we think there are definite opportunities for cost savings moving into 2024. And you could one-off things like we changed disaster recovery sites, that's a $1 million savings. We renegotiated some big vendor contracts that are additional savings and the like. So those things combined with some third-party spends and then we have some employee initiatives that we're working on as we speak today that we also think will help. That combined with some of the efficiencies of technology that have been implemented, we definitely, moving into 2024, feel the cost saving side is a big opportunity for us. And we are in position to take advantage of that and will likely at our fourth quarter call give a real thorough guidance on where we think will be for the year 2024.
Will Jones: Okay, that's great. That's helpful. And Tom, I just wanted to clarify, did you mention earlier that you expect total deposit cost next quarter in the 2.12% range and a 39% total beta? I just wanted to clarify.
Tom Owens: That's correct, Will.
Will Jones: Okay, thanks for pointing that out. And lastly, I know you guys mentioned buybacks are fairly unlikely in near-term. Although just with where the stock trades at today and capital remaining in a healthy manner, just curious what the thought process is on maybe not taking a more serious consideration and look at it, it just feels like it could be an opportunity for you guys right now.
Tom Owens: Yeah, Will, as we've said consistently in the past, I mean, our highest priority in terms of capital deployment is supporting lending growth. And as we've demonstrated, we've continued to have opportunities in that area. And so, I think that will be the case. I mean, I think we've given pretty strong guidance in the last couple of earnings calls that, in all likelihood we would not be engaging in repurchase activity for the remainder of 2023 and I think that's still the case.
Will Jones: Okay, that's fair enough. Thank you, guys.
Duane Dewey: Thank you.
Tom Owens: Thanks, Will.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Duane Dewey for any closing remarks.
Duane Dewey: Thank you again for joining us for today's third quarter call. We look forward to catching up at the end of the fourth quarter in January, and appreciate your interest in Trustmark. Have a great week.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may all now disconnect.